Operator: Good morning. My name is Leandra, and I will be your conference operator today. At this time, I would like to welcome, everyone, to the J.Jill Fourth Quarter 2018 Conference Call. On today's call are Linda Heasley, President and CEO of J.Jill Inc., and Dave Biese, Executive Vice President and Chief Financial and Operating Officer. [Operator Instructions]. Before we begin, I need to remind you that certain comments made during this call may constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the press release and J.Jill's SEC filings. The forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update our forward-looking statements. Finally, we may refer to certain adjusted or non-GAAP financial measures on this call. A reconciliation schedule showing the GAAP versus non-GAAP financial measures is available on our press release issued today. If you do not have a copy of today's press release, you may obtain one by visiting the Investor Relations page of our website at jjill.com. I will now turn the call over to Linda.
Linda Heasley: Thank you, and good morning. I am pleased to report that our fourth quarter results demonstrate continued progress. Our sales were better than expectations as we anniversaried our strongest comp quarter of 2017. I am especially pleased by our year-over-year gross margin improvement for the quarter, driven by cleaner, leaner inventories and reduction in promotional activity. Of note, our stores delivered our 19th consecutive quarter of positive comps and our e-commerce channel showed continued improvement. For the year, we delivered on our initiatives including elevating our customer engagement, tightening our focus on balancing the assortment and managing inventory and in the second half of the year relying less on promotional activities as we improved profitable sell-throughs. Our customer file grew 4.2% over 2017. New-to-brand growth has been lower than in prior years, reflecting moderating marketing investment as we resolved inventory and e-commerce challenges. We’re encouraged by the engagement of customers in the back half of the year despite tempering our promotional posture. As we look to 2019, we will accelerate an increased investment for future growth, while continuing to build on our ongoing initiatives. Our focus on listening more closely to our customers, providing more relevant and trend right product continues, as does messaging to reflect the brand essence, while better relating our offering to our customers lifestyle. We are also improving our agility and discipline in planning, merchandising, and marketing to react more nimbly to market and consumer changes. I'd like to review operational improvements that remain priorities in 2019. First is leadership; in recent months we've made significant changes to our senior team. We separated the design and merchant leadership roles to create the healthy tension so essential to realizing the best assortment, while streamlining our development cycle, both roles are now filled. We hired Shelley Liebsch in September as our Senior Vice President, Chief Merchandising Officer and we are very excited about the recent addition of Elliot Staples, as J.Jill’s new Senior Vice President of Design. I have had the pleasure of knowing and working with Elliot for several years and I am very excited to have him on the team once again. We dramatically enhanced our marketing team last fall, with the addition of Brian Beitler, our EVP Chief Marketing and Brand Development Officer, and we are in the late stages of our CFO search. I'm excited about these additions to our executive team and look forward to the impact they will have on our business. Second is brand, purpose, positioning and voice. Our target demographic women 45 years and older is relatively underserved by media and the market. We are refining our brand position to further attract these remarkable women, who do not define themselves by age, size, profession nor confine themselves by artificial boundaries or the expectations of others. Perhaps you may have seen our inspired women campaign, which will be featured throughout the year to recognize and celebrate the nature and accomplishments of our customer. Her impact on the world is felt. Through our compassion fund, our customer has helped support shelters across the nation. Since its inception in 2002, we have raised and dispensed more than $16 million supporting and empowering women to move forward, faster and establish a better life for themselves, their children, and their families. You will hear more about these aspects of J.Jill and the women we serve in the future.  Third is design and merchandising. Securing consistent growth requires an increasingly personalized customer relationship that offers ongoing uniqueness in product design and merchandising. We have been evaluating our product development process and are working to shorten our go-to-market calendar to ensure we offer relevant wear now product. We need to provide true newness, a balance between fresh takes and core staples. I'm looking forward to the impact Elliot and Shelly will have in this area. The fourth is marketing. Brian and his team are actively working on initiatives to increase brand awareness and relevance. We are enhancing the creative execution and impact across all channels. This includes more memorable and effective store windows, better web experiences and increased use of video in our channels and in digital advertising. We are also adjusting our roster of models to better reflect the full spectrum of J.Jill’s diverse and loyal customer base. Expanded capabilities allow us to promote the brand with a more flexible and personalized contact strategy, placing tailored messaging more directly, more timely in front of the customer lowers the cost of driving a purchase. We continue to balance the effectiveness of catalog versus investments in digital and social media to address our customers in more relevant ways and reach new prospective customers efficiently. The use of more digital and social media allows us to reach a wider audience as well as enabling greater nimbleness and responsiveness in our messaging. We are also making selective investments with key publishers in both digital and print channels. Fifth, is channel development. We have an enviable geographic footprint. Our store channel is enhanced by amazing store associates who deliver an experience that our customers regularly call out as superior. Our store based colleagues, bridge the experience between the channels by helping her access our online exclusive product, sign her up for emails, encourage her to seek us out on Facebook, Instagram or Pinterest and generally remind her that she can access us many ways or in other words on her terms. Concurrently, we remain focused on driving traffic and engagement with our site. We continue to enhance the site with value added services similar to those we delivered in the back half of 2018, such as PayPal, Fit Predictor and our most recent launch ShopRunner. We continue to grow our email file, which is up 10% year-over-year, while optimizing our email contact strategy, including increased personalization. We plan on further promoting our Fit Predictor tool and our building new features, such as a better, my account section and offering a more streamlined returns process. And of course, we have more unique product with our online edition collections, featuring, of the moment offerings, parallel with these e-commerce efforts our improvements to equip our talented store associates with better tools to enhance customer engagement. All of these improvements will facilitate a more cohesive and seamless shopping experience for our customer, regardless of how she chooses to shop with us. This year, we are also advancing the longer term aspects of our transition on our way to becoming a more holistic customer centric, omnichannel model. Our current model is not fluid enough for our customers or efficient enough for our associates. The work we are doing ensures we make the most of our foundation and continue to scale profitably. With those ends, we are beginning to significantly enhance our technology. We have a strong foundation to leverage, but it is getting dated. This technology enhancement will strengthen that base further, and position and support us for growth. Our new systems will enable customer facing features and will optimize the Order Lifecycle across channels. We continue to pursue a more personal, high-touch and [spectacular] [ph] shopping experience, leveraging our expanding store presence and seamlessly integrating our stores with a world-class digital e-commerce platform. We are managing this work in a disciplined way and with the right partners to see that we stay on time and on budget, while delivering capabilities and value as soon as possible. We expect this initiative to take multiple years with benefits to the business beginning in 2020. 2019 is an important year. We will continue to strengthen the brand and use that strength to increase and accelerate investment in the business, particularly in talent and technology. We are excited about this work and I am confident it will bring us to where we can once again consistently deliver bottom line growth. These investments notwithstanding, we remain committed to delivering financial results in the coming year. Total company comparable sales expectations for 2019 are roughly equal to 2018, while continuing to firm up gross margin and invest in the business. And we are returning value to shareholders in the form of the special dividend that we announced this morning. I will now turn the call over to Dave to review and expand on our financial results and outlook. Dave?
David Biese: Thank you, Linda. Before going into our results, a reminder that 2018 was a 52-week fiscal year versus 53-weeks in 2017 and we experienced an impact on the related calendar shift. The shift did not materially impact our annual comparisons, but did move the timing of sales from the fourth quarter to our third quarter when compared to 2017. Last year's fourth quarter also had the extra week of business as a result. With that, in our fourth quarter of 2018, total net sales for the 13 weeks ended February 2nd, 2019 were $170.9 million compared to $188.7 million for the 14 weeks ended February 3rd, 2019. The added week of sales in the fourth quarter of 2017 was approximately $9.2 million. The remaining decline can be attributed to the shift of sales from the fourth quarter to the third quarter, due to the calendar change, as well as a negative comparable sales comparison. On a 13-week basis, total company comparable sales were a negative 1.7% after a promotionally driven increase of 8.9% for the 13 weeks last year that included elevated clearance sales. Gross profit for the quarter was $107.8 million versus $117.3 million last year, and gross margin was 63.1% compared to last year's 62.2%. The gross margin improvement was driven by having cleaner inventories and reduced clearance sales versus the prior year. SG&A expense was $99.8 million versus $105.6 million last year. And the fourth quarter last year included $2.3 million of non-recurring expenses. As a percentage of total net sales and excluding last year's non-recurring expenses, SG&A was 58.4% versus 54.8% last year. The deleveraging of the rate reflects the reduced year-over-year sales. Operating income was $8 million or 4.7% of sales compared to last year's adjusted operating income of $14 million or 7.4% of sales which excludes the non-recurring expenses. Adjusted EBITDA for the quarter was $18.5 million as compared to $24.2 million last year. As a percentage of sales, adjusted EBITDA was 10.8% versus 12.8% last year. A reconciliation of EBITDA, the net income is included in our press release. Interest expense for the quarter was flat year-over-year at $4.7 million. Tax expense for the quarter was $1.2 million and the effective tax rate was 37.1%. This compares to a tax benefit of $22.4 million last year that included a one-time benefit of $24 million or $0.55 per share resulting from the U.S. Tax Cuts and Jobs Act. Excluding this benefit, last year's income tax expense was $1.6 million. GAAP net income for the fourth quarter was $2.1 million or $0.05 per diluted share versus $29.3 million or $0.67 per diluted share last year, which included the $0.55 tax benefit I mentioned. When comparing to last year, this year's fourth quarter was also impacted by the calendar shift I spoke of which shifted approximately $0.03 in EPS out of the fourth quarter and into the third quarter. Further, the added week of sales included in last year's fourth quarter contributed $0.02 to EPS. For our full year performance highlights, please refer to this morning's press release. Turning now to the balance sheet. We had $66.2 million in cash at year end, and $38.2 million in availability under our revolving credit facility. With regard to our liquidity, J.Jill’s board of directors continually reviews opportunities to optimize our use of cash and to balance investment and strategies, and deliver value to our shareholders. After considering our cash position and capitalization, as well as our businesses continued strong cash generation, our board has approved a special dividend. As our earlier press release stated, we will be paying a dividend in the amount of $1.15 per share on April 1st to shareholders on record as of March 19th. The total dividend will be approximately $50 million and will be paid from cash on hand. We expect that after its payment, the business will generate sufficient cash for working capital needs and to fund investments including the technology initiative that Linda previewed. Our inventory at the end of the quarter was $77.3 million compared to $80.6 million at the end of the fourth quarter of 2017, a reduction of 4%. When excluding in transit inventory from both years, our on hand inventory was down over 10%. During the quarter, we opened eight stores and closed one, to end the quarter with 282 stores. For the full year of 2018, we opened 13 stores and closed 7. Our capital expenditures in the quarter were $10.7 million, which were primarily for new stores and technology. Our capital expenditures for the full year were $24.7 million. Turning now to our 2019 outlook, I'll begin with our full year guidance. Then talk briefly about the seasonal shape of our expected results and end with our outlook for the first quarter. For the full year, total sales are expected to be slightly positive. Total company comparable sales for the year are expected to be approximately flat. We also expect gross margin and the SG&A rate to be approximately flat for the year as we continue to optimize our promotional calendar, and make investments in technology while also resetting our cash incentive plan. Across the year, the expense associated with our technology initiative is expected to be $5 million to $6 million but the majority of this expense associated with a significant planning and design phase to be completed in the first half of the year. Following the planning and design phase, we expect to move into the development and system piloting phase of the project at which time the greater portion of the investment is expected to be capital expenditure. I’ll come back to that when I speak to our outlook for capital spending. With regard to the cash incentive plan, there were no costs recorded in 2018. Interest expense for the year will increase approximately $1.5 million due to higher interest rates and lower average cash balances. Our tax rate for the year is expected to be approximately 27%. Diluted earnings per share for the year are expected to be in the range of $0.66 to $0.70. This includes the expense related to the technology initiatives that is expected to account for $0.09 to $0.10 of EPS for the year. Total capital expenditures for the year are estimated to be $44 million to $50 million including $15 million to $20 million related to our technology initiative. Again, the capital spending related to this will occur largely in the second half of the year. The remaining capital spending will be largely for new stores and upgrading existing stores. As to store account, we expect to open 10 to 12 new stores for the year, and closed approximately five, ending the year with approximately 288 stores. Moving now to the seasonal shape of our expected 2019 results, which provides context for the first quarter guidance. In the first half of 2018, we had an elevated level of clearance sales. As we compare year-over-year results going forward, the activity in the first half of 2018 creates tougher sales comparisons in the first half of 2019. Conversely, we expect gross margin to increase in the first half of 2019, and as noted, we will have a significant expense investment and technology weighted heavily in the first half. The second half of 2018 saw a small amount of inventory clearance early in the third quarter that was largely reflective of cleaner inventory levels throughout the season. As such, the second half of 2019 will have cleaner year-over-year sales and gross margin comparisons. We also expect the second half to show more benefits from our business initiatives. I'll turn now to our outlook for the first quarter of 2019. Total net sales for the quarter are expected to be flat to down 2% versus last year, and total comparable sales are expected to decrease 1% to 3%. As other retailers have experienced, we have seen a slower start to the first quarter, which along with the benefit of our cleaner inventory is reflected in our guidance. For the quarter, we expect gross margin to increase by approximately 50 basis points. SG&A is expected to deleverage significantly due to the technology investment previously discussed. The operating expense related to the technology initiative in the quarter is expected to account for approximately $0.06 of EPS and will represent approximately half the change in the SG&A rate. Interest expense will increase approximately $200,000 versus last year. First quarter diluted earnings per share are expected to be in the range of $0.15 to $0.17. This includes the expense related to the technology initiative that is expected to account for approximately $0.06 of EPS. During the first quarter, we expect to open two stores and close one and end the quarter with 283 stores. Capital expenditures for the quarter are expected to be $7 million to $9 million and is related mostly to spring store openings. On a final note, and as we shared in our previous call, I will be leaving J.Jill at the end of April after almost 10 years. I'd like to take a moment to thank my colleagues for their partnership in helping to build a great brand. It has been a privilege and I look forward to seeing the business move forward from here. With that, I will turn the call back to the operator for questions.
Operator: [Operator Instructions]. And your first question comes from the line of Lorraine Hutchinson with Bank of America Merrill Lynch. Your line is open.
Lorraine Hutchinson: Thank you. Good morning. I wanted to follow up on the SG&A comments that you made for the full year. It sounds like it will be about flat despite some pretty significant increases in technology spending. So can you talk about what the offsets are for that?
David Biese: Sure, good morning, Lorraine. In general, I would say we've challenged ourselves to look critically at the cost structure of the business given the fact that in late 2017 our business slowed down off of our trend rate. So we've been working diligently to do that. There are a number of areas that we look to improve on across the year and a lot of those reside in the overhead in the business as well as a lot of the services that are provided to the business. I'll say more in the ordinary course. So that's certainly part of it. And that is reflected largely over the second through the fourth quarters. The other larger part of that is our marketing investment. We've talked pretty repeatedly to this point about our opportunity to continue to kind of use our data to help us navigate how we spend, and what that means is we are testing into improving out opportunities to shift more of a spend in marketing from a more expensive I'll say a little less efficient catalog spend into a much more efficient digital spend. So the combination of those things is what leads us to a flat for the year I'll say in spite of the significant deleverage in the first quarter.
Lorraine Hutchinson: Okay. And then on the gross margin side -- I conversely, I was a little surprised that it was only flat, because it seems like you're doing a lot to take inventory out of the channel and speed things up. What are the pressures that you see there to offset those initiatives?
David Biese: What I would say generally is, we continue to be, I'll say, somewhat cautious in terms of how we think about gross margin, just given the way things are at the moment. What I mean by that, less about what we do and more about what's happening in the more macro environment. Other things that we've specifically allowed for in our gross margin is first-off, potential changes in the supply chain. We are leaving ourselves the possibility or the potential to be airing more goods as we look to tighten up the supply chain. And I would say that would be over a period of time in which we're looking to do things that are more structurally that will tighten up the supply chain and rely less on the airing of goods, but we do want to leave ourselves the opportunity to do that, but that's one example. The other thing I would point you too is, we are editing assortments such that we are looking to introduce more lower price point items in the line. I wouldn't say a dramatic shift in the assortment, things that we believe would be more accessible to more new-to-brand customers and the like, and in the near term, would expect that, that would have some impact on our markup as we work toward managing into a larger part of the assortment, and I'll say, manage that more toward our traditional gross margin level. So kind of conservativism as well as some of the things that we're planning on changing in the business. We've left ourselves an allowance to do that across the year.
Lorraine Hutchinson: Great. Thank you and good luck Dave.
David Biese: Thank you.
Operator: Your next question comes from the line of Paul Trussell with Deutsche Bank. Your line is open.
Paul Trussell: Thanks, and good morning and my best to you, Dave.
David Biese: Thanks.
Paul Trussell: I wanted to continue the conversation on you’re just mentioning like some of the initiatives and I certainly kind of understand the first half versus second half dynamics in the comp guide given what you're lapping, but really would be interested in hearing more about just how you feel about the current assortment, how you feel about where the merchandised organization is kind of taking the business, what you're hearing in terms of feedback from the customer and just how we should think about the progression of comps throughout the year, and just kind of the extent that what should we be looking out for if you will in terms of change as we check on the stores? Thanks.
Linda Heasley: So I’ll take the first part of that. Good morning, Paul. With respect to the assortment, I look at it as reliability versus predictability. Brands are supposed to be reliable. You go to the brands you love because you can count on finding things that you need or things that you aspire towards. Predictability is when you play it a little too safe and you keep repeating what you've done in the past. And I think we were a little guilty on that as a brand in terms of repeating a little bit too much of this tried and too safe things that are sold. So where I see the assortment going is continuing to deliver to our customers the things we know she loves, components of the Wearever program, the Pure Jill program, giving her Denim that she loves, giving her Cotton Essential, Bi-Stretch etcetera. Those are programs that J.Jill has built strong foundation upon. We do not intend to take that away, but we make it better. Elliot and Shelly coming on board help ensure that there is that healthy tension point with design pushing us forward to more aspirational components and merchandising reminding us of what the customer loves and [indiscernible] for. So what I see is great response from the customers, as we have been shifting the product line, again, not taking away from her which we know she wants but also moving it forward. And we're seeing a new-to-brand customer slightly younger, very engaged with the brand come in as well, which is also very exciting. And it's been ramping up over the last several weeks, which is great. With respect to comp and the initiatives, I’ll turn that over to Dave.
David Biese: Well Paul, if I understand what you are driving at there. The things talked. So the leadership changes are kind of happening recently, and as we speak there's a number of initiatives as well that we continue to be kind of in the heart of in terms of getting operationalizing them and we are seeing traction against them as we move through the first half of the year. So in terms of one of those initiatives in our guidance start to realize themselves more, it's going to be in the second half as we noted. So the first half -- we there are some things in our business are very encouraging. We're looking for further traction, but we are pointing to the fact that we are comping all the clearance sales from last year and as we transition into the second half, seeing more benefit and traction against those initiatives such that the year then works to a more of a flat comp from our point of view.
Paul Trussell: Understood. And then just a quick follow-up on the tech investments. Just to the extent that you can maybe just elaborate a little bit more, one, the fact that this is a kind of a multi-year, multi-phase approach to the investment, is this something that ramps up in terms of dollars over the years? Is 2019 kind of the -- like how should we think about the quantification of it in '19 versus [the fall over there] [ph]?
Linda Heasley: Well I wanted to level set, some the capabilities that are going to be delivered with this project are things that are basic to our retailer, and a new POS system that positions us for next-gen technology and capabilities in our four-walled store environment, better visibility to our inventory so that we can facilitate the easier order online as well as identifying product that lives in other stores to save the sale. So that's a big component of what we are doing. And as I said, we are beginning this initiative right now, we're starting blueprinting. We will have a better sense of the timing on pilot, as well as rollout by the second half of this year and we'll be able to better articulate when deliveries of those benefits over the next couple of years can be counted upon. In terms of how we thought about the capital investments, I'll turn that to Dave.
David Biese: So in thinking about 2019, Paul what I would say is from an expense standpoint and what it means to our P&L, I would think what we're talking about this year with the $5 million to $6 million would be a higher watermark in terms of any expenses associated with the project going forward. It should come down afterward. In terms of capital, I would expect that as you go from 2019 to 2020, the numbers would be comparable with regard to the project.
Paul Trussell: Helpful color. Thank you, best of luck.
David Biese: Thank you.
Operator: [Operator Instructions] And your next question comes from the line of Oliver Chen with Cowen and Company. Your line is open.
Oliver Chen: Hi, thank you and David best regards. The go-to-market calendar opportunity sounds like a big opportunity in terms of increasing speed, could you just articulate where you think the biggest opportunities are there in terms of improving go-to-market and the timing and how the assortment architecture may work. And the other question we had is was on the lower price point items, and what are your thoughts on which part of the assortment could benefit from that most and how are you thinking about good, better, best as well as how the mix will work under your average tech sizes? Thank you.
Linda Heasley: I’ll jump in first and then I'll have Dave go on add to it. With respect to the go-to-market calendar, we need to shorten our timeframe which is well over a year right now, to be something a lot more responsive and we're in the process now with the March, April 2020 collection, putting some of the new elements of this development calendar into place now that Elliot and Shelly are here together. So we'll see potentially the intent is to see less rework. Identify what portion of the line we leave capacity to chase, so that we registered the latest of trends. At the same time, deliver on those programs that we know really important to her in terms of the essentials etcetera. In terms of how we would think about the fashion architecture, the assortment architecture relative to good, better, best we're in the process of going through that right now. Again, building on the programs we know she loves, but allowing for the fact that on some of our programs like our perfect tea, which is a two by two cotton tank for the most part, can we improve the price point and the margin associated with that to be something that's an essential that can be a multiple purchase play as well as in the an aspirational entry into the brand for someone new to the brand. So those are the kinds of that -- that's how we're approaching the assortment in terms of disaggregating every component of it and looking at what is the intent of the product and then how does it play in the line relative to fashion versus an essential staple. Is it going to be something that an existing customer loves or will it promote trial with a new customer?
Oliver Chen: Okay. Thank you. And…
David Biese: I don't know if I’ve much to add. There you go. Perfect. Thanks.
Oliver Chen: I had a quick question on -- on David on inventory modeling. Going forward, how should we think about inventory versus sales and where that's headed? And then, also on the technology side, what are your thoughts on linking the customer relationship and the customer analysis and the customer file relative to the inventory visibility and how you're thinking about the entire technology ecosystem and sequencing that development?
David Biese: So as far as kind of modeling the inventory right now, I would say that as we move through 2019, our inventories would move up a little bit off of 2018 levels, in part due to the fact that there are everyday categories of our business that we look to be in stock all year round. I think Linda has talked previously about a category like denim, so it’s not big moves. But I would expect that our inventories to move up slightly. I don't expect our turns to change dramatically in that sense though. And as far as the technology is concerned, there's a lot to that question in terms of the ecosystem and the like. From my point, when you talked about inventory in particular, I would say the way things that are going to sequence through piloting in the fall, we are going to have some capabilities already where we're making inventory visible to the potentially the customer some of that needs to be worked out. But it's probably more of a 2020 event, where we're rolling something out where a customer is going to have visibility into our inventory such that she can use that and I will call it the Save the sale capacity. So from that standpoint, I think that puts us right in the game in terms of what our customer would expect from us, by the time we roll this out of the POS portion that is in a 2020. Does that help you?
Oliver Chen: Thank you. Best regards.
Operator: And your final question comes from the line of Ike [Indiscernible] with Wells Fargo. Your line is open.
Lauren Frasch: Good morning everyone. This is Lauren Frasch on for Ike. Do you maybe provide a little color on that direct versus retail performance in the quarter? And how you're thinking about the difference between the performances in these two channels in 2019? Thank you.
David Biese: So in the quarter, Linda. First off just go back to the fact that in our stores channel, we once again delivered a positive comp in that channel. We continue to be slightly negative in our direct channel. As we move through 2019, I would expect our retail channel to our stores channel to moderate a little bit. They also have that same dynamic of having to lap in the first half of the year the clearance sales. So that's a dynamic in our store channel as well. So in the first half of the year, I would expect both channels to be slightly negative in terms of their comp differences.
Lauren Frasch: That's very helpful. Thank you.
Operator: There are no further questions at this time. I will now turn the call back over to Linda for some closing remarks.
Linda Heasley: Thank you all for joining us today. I look forward to updating you on our future results as we start our next chapter in 2019. And finally, I'd like to thank Dave for his many years of service to J.Jill. We wish him the very best. I look forward to speaking to all of you in the next quarter. Thank you.
Operator: This concludes today's conference. You may now disconnect.